Operator: Good day, and thank you for standing by. Welcome to the Angi Inc. Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that today's event is being recorded. I would now like to turn the conference over to Andrew Russakoff, Chief Financial Officer. Please go ahead, sir.
Andrew Russakoff: Good morning, everyone. Rusty here, CFO of Angi Inc., and welcome to the Angi Inc. Third quarter earnings call. Joining me today is Jeff Kip, CEO of Angi. Angi has also published a shareholder letter, which is currently available on the Investor Relations section of Angi's website. We will not be reading the shareholder letter on this call. I'll soon pass it over to Jeff for a few introductory remarks and then open it to Q&A. Before we get to that, I'd like to remind you that during this presentation, we may make certain statements that are considered forward-looking under the federal securities laws. These forward-looking statements may include statements related to our outlook, strategy and future performance, and are based on our current expectations and on information currently available to us. Actual outcomes and results may differ materially from the future results expressed or implied in these statements due to a number of risks and uncertainties, including those contained in our most recent quarterly report on Form 10-Q, our most recent annual report on Form 10-K, and in the subsequent reports that we filed with the SEC. The information provided on this conference call should be considered in light of such risks. We'll also discuss certain non-GAAP measures, which, as a reminder, include adjusted EBITDA, which we'll refer to today as EBITDA for simplicity during the call. I'll also refer you to our earnings release shareholder letter, our public filings with the SEC, and again, to the Investor Relations section of our website for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. Now I'll pass it off to Jeff.
Jeffrey Kip: Thanks, Rusty. Good morning, everybody. We know you're all exceptionally busy and working very hard in this earnings season, and we very much appreciate you taking the time to join us this morning. As you know, our mission at Angi is to deliver more jobs done well to our customers, our commitment to our shareholders to return to growth in 2026 and beyond, and generate more value. In the third quarter, we again posted the key markers for both. The most important metrics we look at to judge our customer experience are: one, our hire rate, the rate at which a homeowners submitting a service request on our platform Angi pro paying for that lead on our platform. A pro win rate, which is the rate at which pro wins the leads they pay for on our platform. Three, our homeowner Net Promoter Score, which we survey on a rolling basis. And four our pro retention. We again delivered improvement across these metrics in the third quarter as we have all year. Our estimated hire rate is up double digits. Our estimated win rate is up nearly 30%. Our Net Promoter Score is up nearly 10 points year-over-year and nearly 30 over the last 2 years. The pro retention continues to improve with overall churn better by 7% in the last 12 months year-over-year and up 26% versus 2 years ago. And we're not done yet. We're continuing to invest to get the better, better in customer experience. We also continue to post the key markers for our return to profitable revenue growth. Proprietary service request growth accelerated in the third quarter to positive 11%, and with proprietary lead growth at 16% and revenue per lead growth at 11%, the blue line to growth in 2027 is clearer and clear to us and hopefully to all of you. Our network channel has gone from nearly 40% of our leads a year ago to less than 10% this year, third quarter over third quarter, making the rate of growth or decline there, and impact on our overall growth. But that will change trajectory as we start to compare next year. Our strong proprietary growth is mathematically the key marker for 2026 growth. We'll likely talk about this a little bit more in response to questions later. We're also generating materially more value for the business with our sales channel in Pro acquisition. We have only about half the sales head count we had a year ago, but we're actually producing more overall lifetime margins, meaning the margin for pro and the lifetime capacity for pro and materially up. So with the step change that we've delivered in our sales effectiveness and our recent launch, and now ramp up of online enroll, we have the key pieces to grow our overall growth capacity in 2026, and we expect returned to nominal active pro growth by the end of the year and the beginning of 2027. So with all these key markers in place, we're accelerating our platform transformation. Today, we operate on 4 platforms, bringing the United States to 1 internationally. U.S. platforms, in particular, have significant tech debt in legacy code, which has materially slowed the speed and efficiency of our product innovation and the business in the U.S. And with the rate of change in the landscape increasing with the rapidly growing presence of AI, we have to move forward and get on to a modern technology stack and get off pieces of software, which are in some cases is 20 years old. We've been progressively already rebuilding key pieces of our architecture over the last couple of years, but we're now leaning in with the target of getting to a single modern global and AI-first platform by 2027. We've been and will be delivering new AI first and AI-enabled software and improving the customer experience with it and our business efficiency as well as we go. So this is going to be a progressive improvement. There's no big bang here. And this effort isn't going to hinder our trajectory. It's all built into our outlook. And if anything, the platform work will allow us to accelerate our efforts in the business as we go forward and hit our milestones. Again, with all of this in place, we are looking forward very optimistically to 2026 and beyond. We're never going to be happy with everything, but we do feel very good about where Angi is, and we have even higher confidence that we're going to deliver against our mission and goals going forward. So with that, I think, operator, we're ready to take questions.
Operator: [Operator Instructions] Today's first question comes from Dan Kurnos with The Benchmark Company.
Daniel Kurnos: Nice to see progress on the prop lead side. But Jeff, last quarter, you suggested -- you expected mid-single-digit growth in '26. So given that we're seeing much stronger trends in proprietary and obviously, the weaker in network, plus all the migration work you're doing, has anything changed with regards to your 2026 outlook? And then I have a follow-up.
Jeffrey Kip: Daniel, let's go past. But we are tracking the same target for 2026 revenue growth, as we discussed on the last call. You referenced the mid-single-digit target and that's about right. We expect modest overall service growth with the strong performance in proprietary being offset by the network comparisons. I think you made the right comment that the proprietary looks a little stronger and the network looks a little weaker, and we probably net out around the same. We are delivering this all through very strong paid proprietary channel execution, and we're going to reinvest in branded advertising next year. We expect to double-ish our TV spend given what we've seen on the strength of our branded traffic and our TV performance this year. If you look at overall brand search metrics, which is something some of the larger companies out there are looking at to gauge their overall campaigns, we were only down in the low to mid-single digits in the third quarter versus the prior year, despite year-to-date cutting our TV spend by 70%, which is not, I think, from relationship you often see, that will bolster our growth. And we think our significantly improved customer experience and the solid ROI there is, I think, attributing to that. I think revenue growth rates will likely vary through the year, likely a little lower in the first half of the year as we compare to higher network service request volume, and evening out over the course of the year. I think it's also just worth mentioning what we said on the last call that we expect a little leverage from revenue to EBITDA growth as we keep our strong fixed cost discipline next year.
Daniel Kurnos: That's super helpful. And then just, look, second, there's a lot of moving pieces on EBITDA in Q3 and Q4, including the shift to CapEx along with what you guys called out the resolution of two matters that could result in some slippage into '26. Can you just talk through those pieces and also how we should think about CapEx running in Q4, and next year?
Andrew Russakoff: Yes. Sure. Dan, this is Rusty. Yes. So our believe versus the guidance, it was a mix of a couple of different things, partly some contribution margin outperformance, partly less expense from less hiring, and then partly some timing of expenses. You'll notice -- I think you're referencing that our international EBITDA bumped up quarter-over-quarter, mostly due to changes in the product organization that Jeff mentioned in the shareholder letter. So we combined domestic and international into one team, so that we can focus on consolidating onto one unified technology platform, which is an initiative that we have been orchestrating for a while. What this meant in Q3 was that the international folks shifted their work towards building out the new platform, which due to the accounting rules resulted in less expense being allocated to the International segment and more capitalized wages these financial dynamics were in line with what we've anticipated with this. Expectations going forward are that capitalization rates in Q4 should be a little bit higher than in Q3 as we continue to ramp up the platform work, and then we'll continue at a similar run rate through the first half of 2026 before it tapers off as we start to complete some of that platform work in the back half of next year. What that looks like on a full year basis, it will be around $60 million of CapEx this year, around a similar amount next year, but will be front-loaded next year as opposed to backloaded this year.
Daniel Kurnos: Got it. And just, Rusty, I just -- could you just clarify what the two matters were? I know it's just timing stuff, but just helpful color on EBITDA, maybe some shift there?
Andrew Russakoff: Sure. So we have two vendor-related matters that are from prior years that we had high confidence would resolve much earlier in the year. Both remain under discussion and thus, we're not really at liberty to give more detail on them. There's a chance either or both of them might resolve in Q4, but we're obviously running up against the end of the year. So at this point, that seeming less likely. But we still expect to prevail ultimately, which might be the impact will slide into 2026.
Operator: Our next question is from Andrew Watts with JPMorgan.
Unknown Analyst: First, could you give us an update on what the response has been from service pros to the ads migration? And second, could you expand on what you saw in the network channel this quarter, and how that impacts your outlook going forward?
Jeffrey Kip: Sure. I'll take those. So first of all, the ads migration is more than half done this morning. It consists of 2 30-day rolling migrations. We're doing them over 30 days because we want to match the contract renewal date. It just makes a lot more sense to the business and the customer. We'll be about 3/4 done on November 15 and then start a second 30 day. We've had zero disruptions or problems so far. We've got good feedback from our customers. As you probably recall that ad pros really have no choice as to which tests within a category they received, and no choice beyond their initial allocation, ZIP codes. So it's positive. It will make life better for them, and it will also improve our matching because you'll have pros actually receiving the things they specifically want. So we're getting good feedback. The migration is one of the planks to this all progressive global platform work that we've embarked on. We'll power down the legacy ads platform following the migration, saving money and allowing us to put resources elsewhere. There hasn't been any disruption of any kind of materiality in the P&L. And we really expect that on all of this work, given the way we're working and given our experience. This is our fifth migration. We did 5 in the European business. And so this is kind of a continuation of the work we've been doing for a while now. I would just say that having something like this come off seamlessly is still impressive that the teams that have been working on this thing tirelessly for over a year deserve a real tip of the hat on the effort and the quality work they've done. Eden, [ Yugo ], Dave, Joe and everyone else. Thank you very much and if you're listening, tip of the hat to you guys. Let me go to the network channel. A year ago, just recall, our network channel was almost 40% of our leads. It also had in the range of half the win rate of the rest of our channels. Today, the channel is less than 10% of our leads and the win rates materially increase to be in the same range as the other channels. All of this was planned. We made a conscious decision to implement homeowner choice in January, which means that the affiliate homeowners were previously auto matched to available pros are now choosing each pro. Our data internally has said that homeowners who choose a pro were 60% more likely to hire a Pro. And indeed, we've seen that kind of lift in the affiliate hire rates. So it has been a win for our homeowners and our Pros. We also anticipated as a result that the volume of our leads would come down quite a bit, both because homeowners are going to choose fewer pros than they were automatched to and because there's less revenue for SR to spend on acquiring more SRs. So we expected that. It was in our guidance. We're kind of on track there with a little bump here in the third quarter. We also expected volatility in the ecosystem. When we launched into this, we weren't sure exactly if everything would play out. I think net over the course of the year, we've gotten a bit less volume and a bit more profit than we expected. In the third quarter, we had three of our larger affiliates have bumps down in volume. One of them had to do with quality of SRs in their affiliate network. A second one told us they had operational issues. The volume came down. And in the third one, we just didn't have as much volume available. Now we've gotten back, a chunk in this volume, but not all of it. So we are at a lower run rate. Again, we didn't expect these things, and we also still expect that there will be some bumping up and down as we add network partners and some drop off. So at the end of the day, as we look forward, our current view is that we've kind of come back off our bumps. We're at our new run rate. We're constantly farming and looking for appropriate partners. And we think that, again, we're stable. We could go up. We could bump down. We'll see. It's now less than 10% of our traffic. It's not a strategic channel. We're going to take the right traffic that we can match the right Pros and get jobs done well. But this is not something that we bank on as a source of future growth in particular. We're happy to have it and make it work and keep deploying there.
Operator: Next question is from Ms. Sergio Segura with KeyBanc.
Sergio Segura: Maybe starting with AI helper. I thought it was interesting that statistic you gave that it converts at a 2.7x higher level than the traditional flow. Now that's the default experience. Just how should we think about modeling the impact? And I guess, is that informing your view of maybe investing even more into marketing for 2026? And then I have a follow-up.
Jeffrey Kip: So let me step back. Let's just talk about our approach with AI generally. So first of all, we commented in the letter that we made the move to AI first. And what we're doing is we're looking to implement AI across our customer workflows and our team workflows as well. And we are looking to, as we build new software build an AI data. The AI helper is really sort of one of the first prototypes where we are taking an LLM off the shelf. And our approach is to produce a fine-tuned LLM in each case. So this is the first application. We're fine-tuned LLM means that we have a set of proprietary knowledge, which is structured in a certain way. In this case, it's our conditional set of service request questions by a task, which we can use to feed and change the way the LLM flows and the conversation with the customer. Secondly, we have a bunch of proprietary data on customer behavior through the product. And in terms of the interaction between the homeowner pros that we can also feed. And then as we deploy these products, we get new data. And through all of this, we've created a learning loop, which differentiates our experience from what somebody might get on an LLM with our proprietary knowledge, or proprietary data. So this is our core approach. What we've done with the AI helper is we first deployed it as an open box that effectively said, how can we help you on the side? Or tell us in your own words? And when people enter that, and that's ultimately 1/3 of the customers who post service requests with us. They're more likely to convert. They're more likely to choose a pro, and thus, they're more likely to get a job done well. This started as a deprecation in conversion and the learning loop is sped up and now it looks accretive, and we believe we're seeing some of this in our proprietary growth. I think when you go to the next step, which is, [ gee ] how much work can this be? We don't actually expect that the other 2/3 of traffic will triple in conversion because there's a causation and causality. So you've got to do a split test to actually see what the shift is. But we do believe there's upside in getting more customers through the AI helper. And we do believe that, that's important going forward. We don't have a big win baked into our numbers because we've actually just gotten the next phase in this test into play. And so the core of this is when you look at LLM technology, we think it's a huge opportunity for us because we can take an application like the SR path, which is fundamentally a conversation between Angi and the homeowner. And we can deploy the LLM to have more effective natural language conversations against a larger body of data than our previously somewhat rigid conditional path. And we could end up delivering a better match on our core asset, which is the 100,000 Pros who are ready to get jobs done well for the homeowner. Because at the end of the day, we have always taken this conversation with a homeowner in the conversation with the pro, turned it into a conversation between the two of them because we have the largest supplier for us, and delivered the offline experience that people want. Done this on Google. We've done it on social, and now we're going to do it on LLM. And we're doing it within our product as well.
Operator: The next question comes from Stephen Ju with UBS.
Stephen Ju: So Jeff, Rusty, I think I'll ask the AI question in a slightly different way. And I guess, Angi's relationship with the broader world, I suppose. So I think we're all looking at shifting traffic patterns because the usage of LLMs has taken up across the globe. So how does this change your traffic acquisition strategy? What's working? What's not working as you think about customer acquisition and service grow acquisition? And narrowing down the scope of the question a little bit. I think as we've gone through the restructuring over the last couple of years, I think you've taken a pretty conscious effort to walk away from the traffic that was lower ROI. I would have thought that in the third quarter, we be bouncing off the bottom, but I think there's sort of a directional quarter-on-quarter decline here that we're noticing in terms of the overall activity. So I'm just wondering if you can kind of walk us through what you're seeing in the third quarter?
Jeffrey Kip: So the first question on traffic shifting. There are some indicators out there, the traffic is moving around, statistically getting produced. There's also, what I would call the walking around research of everybody you talk to doing searches in places that sound a lot like LLMs, or actually our LLMs. Look, our view on this is, again, what I said earlier, we think this is a great opportunity. We're in the middle of building our own proprietary app, deploy by the end of the year on one of the major LLMs, and we're in discussions with a couple of the others about deploying our current and then new technology there. So we think it's a great opportunity because we think that our domain knowledge and our proprietary data and the context we have is going to allow us to enter the chat, midstream in the LLM and read the context from the customer and get them more accurately and with more expertise to the pro they want. So we think it's a great opportunity. Obviously, there's a bunch of cards. It's very early in the Texas Hold'em hand. So there's a bunch of cards left to come on to the table. But between our development capabilities, our AI team and the ongoing conversations we're having in the nature of our product, we think that we are very well positioned there. We're also, at the same time, kind of rebuilding our content approach, the structure of content that gets serviced in AI is a bit different, although there's a lot of correlations to the way it gets surfaced in Google SEO, but we're actively looking at what we do and how we do it to make sure we're in play there. And at a minimum, we get the brand impressions. I think then finally, we're actively working with Google on everything they're doing in terms of how they deploy ad space and AI mode and elsewhere. The AI MAX product, which is meant to sort of focus on getting to the right spot against the AI is now over 10% of our spend. So we're literally -- we're literally trying to stay on the cutting edge of everything about where traffic is, where it is going and keep our team and our technology deployed in the right way there. And we see this as opportunity, not as something bad. We see this is actually very good. Your next question was about third quarter trends. And thinking maybe we should have been bouncing off the bottom. I think what we said is we get sequentially some improvement. We were minus 12% in the second quarter on revenue, and we said minus 8% to 11% on the third, and we came in at minus 10.5%. We had these bumps in the affiliate network, which its a nonstrategic channel. Our core strategic channels are growing incredibly healthily. I think all of our proprietary -- SRs are going 11%, our leads are growing 16% and then our revenue per lead is plus 11%. So if affiliate wasn't there, you had the lead growth and the revenue per lead, you have very healthy growth. So I think in some ways, you argue that our core business, the best part of our business is growing very healthily. It is well up off the bottom. I think the network channel is a quirky channel. It's a group of affiliates who we're working with to try and buy homeowners traffic that's going to match into our network and work well. It's not a big canvas. It's not quite a sort of algorithmically approachable as Google is. It's not as big as the social channels are. And so we got a couple of surprises at once. This will continue to be a theme. We do think we're going to offset it with this incredibly strong proprietary execution that you've seen growing every quarter. We do think that our TV is now performing better than it was, so we're ready to lean in. And we also think that our branded social organic is contributing to what we think is an incredibly strong performance in overall Google brand searches. So I think we feel pretty good about all the good parts. We've got a little bit of noise in affiliate. We got a little bit of noise in SEO. And again, nobody can bank on either of these as the key to their business anymore, I think, and they're both less than 10% of our traffic. And look, we're pretty optimistic. We actually feel very good despite a little bump. I take my family skiing every year at Christmas, and we have to connect because we're going to Idaho. And sometimes there's a delay. We've missed the connection, but we always get to Idaho and have a great time skiing and put on the matching pajamas that my wife buys, and have a family picture. So we are feeling pretty good right now.
Operator: Next question is from Eric Sheridan with Goldman Sachs.
Eric Sheridan: Maybe one, if I can, against all of the investments you're making across the business. We noticed you also increased the authorization around the buyback. How should we be thinking about capital allocation back into the return profile for shareholders on either a linear level, or elements of you being more opportunistic against the stock price in deploying that authorization?
Andrew Russakoff: Great. Yes. Thanks, Eric. So since Q2 earnings, you saw we bought back the remaining shares in the authorization that was outstanding. That amounted to 1.3 million shares at about $20 million. So year-to-date, that takes us to $111 million representing just under 15% of the company. And then in mid-September, the board authorized us to repurchase another 3.2 million shares. We haven't yet repurchased any shares out of that authorization, and we'll utilize that as Board deems. That's an appropriate use of capital. Importantly, as we've mentioned previously, there are limits related to the amount of share repurchases in the 2 years following a tax-free spin-off. And so if we repurchase all of the shares under the current authorization, that would take us just under that limit.
Operator: And our next question is from Youssef Squali with Truist.
Youssef Squali: So maybe, Jeff, just stepping back a little bit, can you just talk about the broader picture, the health of the consumer right now, maybe just given the current macro? Has it changed at all on the margin? Maybe any difference between lower DMA versus higher DMA type of customers? And then on the...
Jeffrey Kip: Sorry, can you just tell me what -- I apologize, DMA?
Youssef Squali: DMA, just like higher -- I guess, various ZIP codes, like higher-income ZIP codes versus maybe lower income ZIP codes? .
Jeffrey Kip: Okay. Thanks.
Youssef Squali: And then just on going back to the need to consolidate from 4 platforms into one. Maybe can you double-click on that a little bit? How heavy a lift is it? And how much of the turnaround in the business and the growth starting in Q1 of 2026 is predicated on that move to the single platform. Just trying to see what potentially could go wrong could delay that inflection?
Jeffrey Kip: On the overall macro, I think our view is there's a big disruption in April connected to macro events. And that kind of hung a little bit through May. We saw a pickup in June, and we feel like we've been kind of steady since then. Not a runaway homeowner demand like we had in COVID, but not a falling off homeowner demand like we had in the financial crises. So we think it's kind of stable. We can't say we pull anything different in trends on different ZIP codes. There are ZIP codes where we perform better, and ZIP codes where we don't. But we can't say that there's been some kind of step change there. So that's, I think, the macro. I think things look steady as she goes right now. I think secondly, on your platform question, as I said, we don't have any wins from platform integration, particularly built in. And we don't particularly expect disruptions. We're in the middle of our fifth migration of a significant pro network. And for the fifth time, we see it the same, and I think we've seen less post in other migrations. So we think this improves the customer experience, and it's also going to improve the efficiency of our commercial engine. You can already see the improved efficiency in our consolidation, the sales force to sell only the new product which is a result, which has been part of the success of selling significantly more capacity for pro and generating a lot more value. Could we see some lift, yes? There are progressively going to be rollout. You're seeing the first one in this migration. We're going to see some impacts on our homeowner- facing side, which we think will be net improvements over the course of the first half of the year, and we will progressively be delivering platform pieces, which both have the chance to improve conversion and the customer experience, and will allow our team to test, develop and deploy faster and iterate faster. I think we've been very much held back on our ability to move the speed across the product and the customer experience for multiple years here by the legacy technology and tech debt. So I think we are -- the way we look at this is we kind of roll forward our run rate and build in our knowns. And then we go execute, and we're always anticipating what we know versus what we might not know and handicap. And I think right now, we've got a pretty even outlook over the course of next year. And we don't expect -- we're not building in a massive lift from some piece of new technology, and we're not expecting because we haven't -- in now 6 -- we're on our 6 migrations to date. We haven't had a major disruption in any of them. And we've got some -- we have some pros working on this. So our own internal technology pros, not our external construction, specialty construction and home services pros.
Operator: The next question is from Matt Condon with Citizens.
Matthew Condon: My first one is just -- can you just talk about the sustainability and the acceleration of service requests. I believe the acceleration is partly due to the transition and spend away from the network channel into the proprietary channel. Is there an upper bound on marketing efficiency and your ability to drive growth through that channel? And then my second question is just on competitive intensity. Just what are we seeing...
Jeffrey Kip: Can you just hold on -- can you just -- can you back up, I apologize. There's something about the sound where I didn't fully grasp your whole first question.
Matthew Condon: Yes. I can repeat. I'm just talking about just the acceleration service requests and if it's sustainable from here? And specifically, just as you transition spend from the network channel into the proprietary channel. Is there an upward balance just on marketing efficiency? Like can you continue to push on spend there to drive that service request volume? And then just the second question is just on competitive intensity and if that's changed here over the past several months?
Jeffrey Kip: Okay. So we may get accelerated a bit in the fourth quarter, maybe even in the first quarter. We're not necessarily predicting that on our proprietary growth. But we're actually -- what I said earlier is we're going to have tougher compares as we go into the second, third and fourth on the proprietary. So we're actually thinking that if you have mid-single-digit revenue growth and you have -- we expect maybe modest net SR growth across all the channels next year and a little bit of variability around the mean through the quarters because of different compares. And then we also expect to continue to get revenue or service request growth and we'll see how the mix of leads per service request and revenue per lead comes in, depending on the allocation of leads between our paper lead and our subscriber pros. But we basically think modest service request growth, modest revenue per service request growth. And so we're not actually saying we're going to accelerate through next year. Now what I will say is that the team -- again, sorry about the standout team, the online performance marketing team has had a couple of great years, dramatically improving profit growth in 2023 and really turning it on with volume growth this year. So I'll tip my hat to them, too. But they have a list of initiatives and their product and technology partners have a list of initiatives. By the way, they've been a big part of that acceleration and win as part of the new platform work effectively over the last couple of years. So there's a list of initiatives. There's a level of execution, and we think we can continue to grow. I think the other key point is growing pro capacity which we're going to be back doing next year. If you look at what we've been able to do in terms of growing the lifetime value per Pro acquired, we expect to be able to continue to drive up lifetime value per Pro acquired as we shift from smaller Pro to larger Pro acquisition with our sales because we've gotten much better at prospect segmenting and targeting. We just added more talent to that team. We're pretty excited about it. We think there's a pretty big opportunity in larger Pros. We think we're 3 to 4x the penetration in Pros with 10 or less employees as we are with Pros with 10 or more. And so we have a big opportunity to keep shifting and getting that capacity for Pro up. And I think you roll out online enrollment, that gets you another whole pool of Pro capacity. And the more pros I have, the more revenue that's available if I can buy the SRs. So I think we have our online execution. I mentioned the TV coming in earlier, and then we have the ability to grow our network and have more demand in order to buy into. So yes, I think we can growing -- keep growing. And I think there's new tools available. We have to hit all of the major platform channels and the LLM channels, our real potential new area of opportunity for us that, again, we're working right now on proprietary technology that plays directly into our core strength. So we're very optimistic there, too. So we do think we can continue to grow SRs. We have net modest expectations next year. And in an ideal world, we beat that soundly, but I can't predict that right now. So in terms of the competitive set, we have some strong competitors out there. We continue to think that on a revenue basis, we're probably the size of the next 2 combined, but we don't have exact data. And the largest competitor is probably Google with their direct-to-pro advertising, and they've been probably the most formidable because when you own the highways, you can decide who drives on it, over the last several years for us. We do think our competitors are real. We're watching carefully what they're doing. We want to -- at the end of the day, we want to present the best solution to our homeowners and our Pros, and differentiate ourselves by providing the highest quality of experience. And I think by doing that, we can continue to grow and stay keep our competitive position and be the top choice. Our key assets are, number one, our network and the quality and skill of our network. Number two, our brand, which has been built over 30 years from the ground up by our Founder, Angie Hicks and everybody else. So we've had 30 years of successfully connecting homeowners to Pros for jobs done well. That's not an asset that any of our competitors have. And then finally, I do think we have a commercial machine and a reach between our online marketing expertise and our ability to call and sell Pros that we've got to the scale we have that others don't have. And I think -- we have these advantages. We've got to keep improving our customer experience. We think we're very well positioned with our team. We're going to pivot our technology. And I think we feel very good about where we are and our opportunities going forward. We have any other questions operator?
Operator: There are no -- there is one more question that is queued up, if you'd like to take it?
Jeffrey Kip: Sure. Let's go.
Operator: The last question is from Ygal Arounian with Citi.
Unknown Analyst: This is Max on for Ygal. Just one maybe on the 2026 EBITDA. I think the language maybe shifted a little better from similar to modest to that more modest higher end from last quarter. So just curious what's driving that? Is that some of the expected efficiencies from the platform migration, or some of those AI efficiencies from the internal tools you're using that you called out in the letter.
Jeffrey Kip: So I don't have our transcript from last quarter in front of me. I think we said mid-single-digit revenue growth and a little bit of margin leverage. I'm not sure if you said a modest, similar or what we said. I think when we look at our margins next year, we're not predicting contribution margin leverage because we're going to invest up in the branded area. We think we get our leverage by holding our fixed cost discipline, which I think if you look at the P&L over the last couple of years. Rusty and the team have done a very nice job with. So we do think we're able to get efficiency by being AI first. We think you put a multiplier on human productivity, whether it's coding, or processing sales scripts or doing customer research. So we think we're going to be able to hold our head count and keep our fixed costs down and realize the leverage at the fixed cost line as a baseline.
Operator: And at this time, there are no further questioners in the queue. This does end today's Q&A session and as well as today's conference. Thank you for attending today's presentation, and you may now disconnect your lines.
Jeffrey Kip: Thank you very much, everybody. We're very optimistic looking forward. Thanks for coming this morning, and thanks for listening to us. We'll talk to you all soon.